Barbara Amaya: Good morning, everyone. Welcome to Alpek's Third Quarter 2025 Earnings Webcast. I am Barbara Amaya, Alpek's IRO, and I am pleased to be here today with Jorge Young, our CEO; and José Carlos Pons, our CFO, who will be presenting today's material. Today's agenda will cover the following topics. First, Jorge will provide an overview of the quarter. Then Jose Carlos will cover the financial results in greater detail as well as the process regarding the merger of Controladora Alpek with Alpek, following the successful completion of regulatory approval. Afterwards, Jorge will discuss the outlook for the remainder of 2025 and an update on [indiscernible]. Finally, we will conclude with a Q&A session. Please note that the information discussed today may include forward-looking statements regarding the company's future financial performance and prospects, which are subject to certain risks and uncertainties. Actual results may differ materially, and the company cautions the market not to rely unduly on these forward-looking statements. Alpek undertakes no obligation to publicly update or revise any forward-looking statements, whether it is as a result of new information, future events or otherwise. We express our financial results in U.S. dollars unless otherwise specified. For your convenience, this webcast is being recorded and will be available on our website. Jorge, I'll turn the call over to you.
Jorge P. Young Cerecedo: Thank you, Barbara. Good morning, everyone. Thank you all for joining us today. Alpek's financial and operating results show a 10% sequential improvement versus the previous quarter while still reflecting the challenging environment in the chemical industry. The Polyester segment reported a better product mix and steady volume levels following the resumption of our PTA operations at the facilities that have undergone shutdowns in the previous quarter. Meanwhile, the Plastics & Chemicals segment continued to deliver consistent results supported by stable regional demand seen throughout these months. Operating free cash flow was $68 million in Q3. These financial results reflect Alpek's ability to partially offset the impact from global oversupply, which continues pressure in reference margins as well as lower ocean freight rates. Now I will turn the call over to Jose Carlos to provide our financial performance in greater detail.
José Pons: Thank you, Jorge. Good morning, everyone. Thanks for joining us today. Allow me to dive deeper into our quarterly results. Total volume was 1.12 million tons, increasing by 1% from the previous quarter and decreasing 8% on a yearly basis as it remained pressured from persistent market oversupply, particularly in the Polyester segment. Reported EBITDA totaled $116 million, including a $21 million negative adjustment. This figure reflects extraordinary costs from the permanent closures of the Cedar Creek and the Beaver Valley site as part of our footprint optimization strategy. Comparable EBITDA resulted in $137 million, a 10% increase from the previous quarter, driven primarily by the Polyester business. Moving forward to the [Audio Gap] As operations resumed from prior maintenance shutdowns, yet still pressured by market oversupply, as mentioned previously. Asian integrated PET reference margins averaged $276 per ton, declining by 10% from the previous quarter and Chinese PET margins decreased by 14% to $134 per ton. Chinese reference margins stabilized during the quarter, a shift of the volatility seen in the first half of the year, however, continued to be at very low levels. U.S. reference for exciting prices increased 1% from the second quarter to $1,139 per ton, yet remained 8% lower compared to the same period last year. This narrowed the spread between North American and Asian prices to $253 per ton, an 8% decrease from the previous quarter. Polyester comparable EBITDA reached $88 million, a 24% increase quarter-on-quarter, supported by a better product mix and operational cost performance. On a year-to-year basis, global oversupply, regulator headwinds and lower freight costs continue to have a negative impact. Meanwhile, the Plastics & Chemicals segment continues to deliver a stable performance. Volume totaled 195,000 tons, up 3% from the last quarter and down 12% from the last year as normalized demand levels persist. Moving on to industry references. Polypropylene margins remained flat in line with our guidance expectations at $0.14 per pound, while average propylene prices declined to $36 per pound, down 5% from the previous quarter. On the other hand, North American reference margins for EPS averaged $0.38 per pound, up 22% sequentially, while average styrene prices decreased to $0.44 per pound and 11% drop quarter-over-quarter. Plastics & Chemicals comparable EBITDA was $47 million, an 8% increase quarter-on-quarter and 25% lower year-on-year as improving reference margins were offset by a slightly less favorable product mix. Looking at free cash flow and capital allocation. Net working capital improved by $38 million compared to the previous quarter, driven by better inventory management and targeted optimization efforts. This positive trend was further supported by a more stable raw material pricing environment, particularly for property. We remain on track to achieve a full year recovery in the range of $60 million to $70 million. CapEx for the quarter was $32 million, including $28.5 million in maintenance and $3 million in strategic investments, consistent without the ongoing focus on disciplined capital allocation. As a result, operating free cash flow totaled $68 million, a 41% increase from the previous quarter, totaling $123 million year-to-date. I would like to highlight that Alpek continues to generate significant positive cash flow and maintains a strong free cash flow yield despite the challenging industry backdrop. On our balance sheet and financial position, net debt was $1.8 billion, up 2% year-over-year, yet declining by 3% from the previous quarter. Last 12 months, reported EBITDA totaled $458 million, resulting in a net debt-to-EBITDA ratio of 4.0x, an increase from the previous quarter as anticipated. Notably, if we adjust for nonrecurring items related to cost structure improvement and footprint optimization initiatives seen through the year, the pro forma leverage would have resulted in 3.7x. As we approach year-end and as market conditions are taking longer than originally anticipated to recover, Alpek expects leverage to remain at higher levels and we will continue to be focused on taking the necessary measures to reduce its leverage through the following actions: one, footprint optimization. We're taking decisive action by closing 4 facilities to date and are continuing to assess marginal sites as part of our cost discipline efforts; two, divestiture of non-core assets with a focus to maximize value for our shareholders, we are progressing with the potential divestiture of several nonproductive assets; three, continuous debt profile improvement. Thus far, we have successfully refinanced $690 million, improving our average debt maturity to 4.6 years, and we successfully refinanced all of our 2025, '26, '27 debt maturities and we're currently exploring opportunities for the remaining debt in '28 and '29; fourth, free cash flow generation to net working capital and CapEx optimization; and finally, foregoing a dividend payment in 2025. Through these actions and amid challenging industry landscape, Alpek reiterates its commitment to continue its deleveraging efforts in line with our priority of maintaining a strong investment grade profile. And finally, I am very excited to share that a key development for Alpek. The National Banking and Securities Commission, or CNBV, has recently given the company the approval to merge Controladora Alpek with Alpek. Earlier this morning, we called for the extraordinary shareholders' meeting to be held on November 25 to request approval for the merger between both entities. We also would like to remind our shareholders that in order to legally install the shareholders' meetings, we require the attendance of shareholders would represent at least 75% of the capital stock. Therefore, we invite you to make sure that your shares are represented and that the respective vote is exercised. Your participation is very important to ensure that the merger is approved promptly and becomes effective once the legal process has been completed. This is an important step in order for Controladora Alpek and Alpek to be listed as a single entity. Additionally, with 100% free float, Alpek could become a candidate to join the Mexican index or IPC, among other indexes, which could generate additional shareholder interest. Together with our continuous execution to prioritize competitiveness, Alpek is confident in its ability to deliver long-term value for its shareholders. With that, I'll turn the call back to Jorge.
Jorge P. Young Cerecedo: Thank you, Jose Carlos. Moving forward to the outlook for the remainder of the year. Overcapacity will continue to be the main challenge in the industry. As a result, reference margins are estimated to remain pressured alongside low ocean freight costs, which are also expected to continue impacting our performance. In light of these dynamics, the company is revising its full year comparable EBITDA guidance to approximately $500 million. We expect fourth quarter results to reflect lower demand from a typical seasonal effect alongside plant maintenance shutdowns in several of our sites. Looking ahead, we have a very significant development regarding trade regulations in the United States. Through an executive order effective September 8, PET resin has been removed from the list of exceptions on reciprocal tariffs, meaning that imports for both virgin and recycled PET into the U.S.A. will now carry an additional duty at the levels negotiated by the U.S. government with numerous countries, including the key Asian countries exporting PET into the United States. This change is expected to create a more balanced competitive landscape for domestic producers. While we welcome this news, it is still early to quantify the impact of the new tariffs. Notwithstanding, we're optimistic that we will see favorable impact to Alpek starting in 2026 and adding in 2027, as contracts are negotiated and by gaining volume through displacing imports. We will provide an updated view when we issue our 2026 guidance concurrent with our full year 2025 results release this coming February. Barbara, I'll turn the call back to you.
Barbara Amaya: Thanks, Jorge. Before we start the Q&A session, I would like to restate what Jose Carlos mentioned regarding our upcoming extraordinary shareholders meeting for the approval of the merger of Controladora Alpek and Alpek. Your participation is extremely important to ensure the merger is effective. As in order to legally install the shareholders' meetings, we require the attendance of shareholders, which represent at least 75% of the capital stock. So we strongly encourage all shareholders to participate in both, whether by registering and attending the meeting or through proxy voting. If you have any questions, please reach out to me or anyone in the IR team. We would be happy to assist you.
Barbara Amaya: [Operator Instructions] Our first question comes from Thiago Casqueiro from Morgan Stanley.
Thiago Casqueiro: I know this tends to have kind of a lagging effect on prices and you mentioned the impact only in 2026 and 2027, but with the U.S. government removing PET from the tariff exemption list, have you noticed any impact yet in new contracts or spot sales? So basically, is it possible to see the effect flowing into 4Q results already? And the second one is related to volumes. I know we have the seasonality effect on volumes in the fourth quarter and also the maintenance you mentioned. But what trends have you observed in demand and volume so far in October? And what are your expectations for 2026?
Jorge P. Young Cerecedo: Yes, thank you for your questions. Those are very good questions. Yes, indeed, the -- what we said is that we expect to see the impact of the reciprocal tariffs more into 2026. There are some relatively small positive reactions in the fourth quarter. But for the most part, we will see the effects in 2026 as contracts renew and also consider that imports had been heavy throughout the first 9 months of the year. So the market needs some time to absorb and still digest that pipeline. So yes, some small positive signals in fourth quarter, the most relevant will happen in 2026. In particular, the fourth quarter, we have the low seasonality, which is typical of the fourth quarter. I would say the last 2 or 3 years has been more acute than what we had seen in previous decades, I would say. More also compounding effects from the heavier levels of imports in the first 9 months of the year. That's the -- that mostly explains the more weakened view in volumes in the fourth quarter.
Barbara Amaya: Our next question comes from Ben Isaacson from Scotiabank.
Ben Isaacson: Can you hear me okay?
Jorge P. Young Cerecedo: Yes.
Ben Isaacson: Great. I just have one question. When you Think about your key chemicals, PET, PP, EPS, et cetera. Can you rank them in terms of 2 different things. One is through cycle return on invested capital. And then number two is free cash flow conversion. Can you just explain which of the chemicals are kind of more efficient from a use of capital point of view?
Jorge P. Young Cerecedo: But generally speaking, our plastics and chemicals, polypropylene and EPS are more efficient in return of capital throughout the cycle. I think we have some more elements for differentiation and less exposure to -- a little bit less exposure to other markets. Most of our footprint is in North America in those 2 businesses.
Ben Isaacson: So just to be clear, you would have a better return on capital, a better free cash flow conversion in the P&C segment. Does that mean that it deters you from investing capital in the Polyester segment in the future?
Jorge P. Young Cerecedo: Not necessarily. I think the Polyester segment has very interesting opportunities to still improve its technologies and its cost. And I think we are nurturing and working into those projects as we speak. And when they're ready, we will revisit our cash flows, and they will likely be still financed within the cash flows from the Polyester division, but that's something we would see in due time.
José Pons: Maybe just in addition to that, the way that we have also been able to compensate in the Polyester segment is through acquisitions. We've made very attractive acquisitions in the past at below replacement cost of capital, and that compensates what Jorge just indicated.
Barbara Amaya: Our next question comes from Leonardo Marcondes from Bank of America.
Leonardo Marcondes: I have two from my end. Regarding the readjustment guidance, right, I would like to understand a bit better. I mean, as you have already said, right, volumes in the first quarter are usually lower than in the third quarter. So I would like to understand if all this revision of the guidance for this year is mainly attributed to these lower volumes, right? Because at the end of the day, October -- spreads in October have been stronger than the third quarter average, right? And there is also this PET import duties that, okay, we should see the effects a bit better in 2026, but maybe in the first quarter, there should be also an impact there, right? So my first question is if the downward revision in guidance can be only attributed to lower volumes, right? And the second question is regarding the PET market itself, right? I mean, if you guys could provide any update regarding the market dynamics? And mainly, if you have seen any new announcement in shutdown capacity? And what could we expect from this regard for the next year?
Jorge P. Young Cerecedo: Thank you for your questions. I think in fourth quarter, while there is a small uptick in margin on reference margins, they still remain at a very low level. The other important variable is that ocean freights have come down from the second and third quarter levels. And also in third quarter, demand was -- when it was steady and robust in some of our segments, it was somewhat below what we had expected earlier in the year. As I mentioned, in a very important market for all like the United States, imports of Asian products have been very heavy in the first 9 months of the year. There was a significant wave of imports before April when the reciprocal tariffs dynamics were evolving. So that still put pressure on third quarter. And that's basically the reason of our reduced expectations. As far as PET market dynamics, look, I think we can see that several plants in Asia and in Europe are under tremendous pressure. There are rumors and discussions, but nothing that we can say specifically at this time.
Leonardo Marcondes: Just maybe one follow-up here. Regarding the narrative of the anti-involution in China, do you expect any impact on that -- from that on the petrochemicals or so far, what have been announced has been softer than initially expected?
José Pons: I think that's just an emerging discussion, I think still, there has been, again, in many products, even beyond petrochemicals, discussions how to deal with the excess of capacity in China. And in the chemical field, the anti-involution is being discussed in the context of plants that are either 15- or 20-year old or older must be scrapped. Honestly, I don't know exactly to what extent that is still -- if indeed is happening. If at all, there will be a modest effect, I believe. I think we are bracing for a tough cycle and for actions on having the right footprint, having the high focus on cost efficiencies in our balance sheet. For us, that's the way to go. We still have some selective opportunities to add investments in product differentiation and some debottlenecks, we will share some of those early next year. But this is navigating in a tough environment on a tough cycle. That is our assumption. If indeed, some of these closures happen and happen at a higher magnitude or pace, that's potentially an upside for us, we think.
Barbara Amaya: Our next question comes from Pablo Ricalde from Itau.
Pablo Ricalde Martinez: I have two questions. The first one is a follow-up on Leonardo's question on the guidance. I just want to ask if your $500 million assumes some benefits coming from the new like reciprocal tariffs or that's an upside risk in case these new tariffs helps in the PET margins. And the other one is on the negotiation of contracts. If I'm not mistaken, you usually negotiate them around October, November. So I don't know if you can provide how are those negotiations evolving?
Jorge P. Young Cerecedo: Yes, Pablo, thank you for this question. Yes, I think in the guidance, we are factoring everything we know. But as we have said earlier, the market is going to take some time to continue to digest the relatively large level of imports that came through the first 9 months and is in the slowest quarter of the year. That's why the effects are relatively small, and those are already factored. And the negotiations, as you just said, they are just beginning. This is a period of where negotiations normally happen in the industry. A relevant portion of the volume is normally up for negotiation year after year. And that's just beginning. That's why we prefer to see how that process evolves. And then we go from there and we'll let you know more quantitatively in the beginning of the year. But just some facts, imports from Asia in an annualized pace through September, is close to 800,000 tonnes into the United States, like 760,000 tonnes. And on the 5 or 6 main Asian countries that bring product into the United States, the change in the tariffs was between 15% and 20%. So I think that will, again, provide us more opportunities to capture volume, potentially increase margin, but we want to navigate those quarters. I think it's just early. And again, the demand is quite soft to close the year. So I think we'd like to take more time.
Barbara Amaya: Our next question comes from Joao Barichello from UBS.
João Pedro Reis Barichello: I have two very quick questions from my side. Could you provide an update on the current divestment plans in terms of how material potential movements could be and their timing. Moreover, considering the increase of leverage to 4x net debt EBITDA, do you maintain the 2.5x target? And if so, when do you expect Alpek to reach this goal? Could you consider a resumption of dividend payments out of next year's radar?
José Pons: Thank you, Joao. Very good questions. Well, first of all, the divestiture of nonstrategic assets, as we have already indicated in previous calls, we have around 3 sites that we shut down in the U.S. We're exploring the opportunity to sell those assets. There are ongoing processes in 2 of them. And we're progressing as fast as we can, but it takes time to be able to close the transaction. So no update on the potential time frame for closure. However, we're doing whatever we can to proceed as fast as we can. That could be a smaller contribution, probably around $30 million to $50 million all together, those 3 assets. On the other hand, the Mexican -- the Monterrey site, we continue to evaluate opportunities for that asset. It seems less likely that we will be able to sell it as it is. So we might need to think of further options on splitting the asset to or developing a little bit further. We are working on those options and evaluating the potential requirements of capital and we will continue to give you updates on a quarterly basis. So no further uptake, but it's a valuable asset that could contribute. We're not in the mode of fire selling that asset at this moment. In terms of leverage, yes, our target continues to be 2.5x. Unfortunately, our leverage increased in this quarter. So what we have done as indicated in my initial comments, everything we can, and it's in our hands to improve and to reduce the impact of different factors that have impacted us. We expect to continue deleveraging throughout 2026. We expect that we will be closer to the 2.5x by year-end. And of course, we will continue to find avenues to reduce the leverage. And one item that we will evaluate potentially in the second half of the year, it's a dividend. Of course, it will depend on where we are and how do we see the environment and the performance of Alpek. At this moment, it seems difficult to give you a precise answer, if there's a dividend in '26 or not.
Barbara Amaya: Our next question comes from Rodrigo Almeida from Santander.
Rodrigo Reis de Almeida: Just one from my side. If you could give us an updated view on what you expect in terms of direction in working capital for the fourth quarter and perhaps for early '26 as well, if you can, just so we have a sense of your expectation in terms of cash generation for the next few quarters.
José Pons: Yes. Thank you, Rodrigo. Yes, as we indicated, the third quarter was positive, and we were able to capture opportunities to reduce working capital. So the majority of our expectation has already been delivered. And by year-end, total benefit is expected to be in the order of $70 million to $80 million. So that would include the benefit of what we already been achieved.
Barbara Amaya: Our next question comes from Pierre Dresser from SMBC.
Laura Acosta: This is Laura from SMBC. In terms of guidance, you've mentioned $500 million for 2025. And I know this is a little bit early, but do you have any idea of how EBITDA in 2026 will be impacted, how would the margins look like and the CapEx for next year as well?
Jorge P. Young Cerecedo: Not yet. That's we'll share on those details in our call in February. However, this event of the reciprocal tariffs is important, it's relevant, and we would expect some sequential improvement, but we like to go over the process of how the markets actually evolve on that topic. Again, it's a positive event, but we will quantify for you all in February.
José Pons: And we will see the benefit of some cost reductions that we have done in '25 and yielding results in '26. So that's something also positive for our results in '26.
Laura Acosta: And where do you see the margins as of the end of the year?
Jorge P. Young Cerecedo: Reference margins, we continue to see them steady on the low side. Reference margins, we mean the Asian margins. The ocean freight, which is important for us because ocean freights are correlated clearly to the import parity pricing of competing products from Asia also remain on the low side. So we would expect that environment to continue. I mean it's volatile, right? And I think I'd like to say that both being on the low side, there might be opportunities for some upside. But limited, I would say. The key difference again in our market is the one that results from changes in trade activity, the main event being that is applying to Asian origins in the United States, right? And but even the reciprocal tariffs are going through some challenge in the court. I think it's our expectation from all the canvassing of opinions we've gone throughout the industry and many industries that they will remain. But even that event is still to be seen. That is also a reason for us to -- once we are in the beginning of the year, we will have the full picture.
Barbara Amaya: Thank you. That was the last question in the queue. So thanks, everyone, for joining our webcast. We look forward to seeing you on our shareholders' meeting. Have a great day.